Eric Updyke: All right. Good morning. Welcome to Spirent's 2022 First Half Results Presentation. Nice to see some folks face to face for the first time in a couple of years. Please take a moment to review our safe harbor statement. So I'm really excited to take you through today's presentation. We've had another great half year, and Paula you take -- and Paula will take you through the financials as usual. But we also want to take some time to step back and take you through how we're delivering our strategy and the opportunities we see over the medium and long term. The Spirent today is a very different company to that of 5 years ago. And so we thought it was worth outlining how we see the market evolving, the opportunities this creates for us, and critically, why we are best placed to take advantage. Before Paula goes through the financials, let me set the context to make 3 overarching points. First, we have a huge opportunity to grow, thanks to a number of significant, enduring market drivers. Second, we've aligned our strategy to take with those market drivers and differentiated our approach to ensure we deliver maximum value for our shareholders. And third, our numbers for the half year, a record set of results, double-digit growth in orders, revenue and profit, delivering an eighth consecutive half of revenue growth over the prior year and further evidence that our strategy is working and momentum in the business is continuing to build. I'd like to now welcome our CFO, Paula Bell, to go over those numbers.
Paula Bell: Thanks, Eric. Okay. Good morning all. It's really nice to see you in person. Okay. So let me take you through our first half performance. Both orders and revenue grew double digits. As you can see here, orders growth 12%, revenue 10%, driving a profit increase of 10% to $49 million. As orders grew ahead of revenue and we built our order book. Order book is the contracted orders won but not yet taken to revenue. And I'll cover this in more detail shortly. EPS grew 12%. And on the back of good performance and business momentum, we declare a 10% dividend increase. And it's worth mentioning, too, that we have been growing our ordinary dividend by double digits since 2018; thus creating good returns for our shareholders. The results are strong, and we are well placed as we look to the busy second half of the year. So just looking at the figures in a bit more detail. I've already mentioned the order intake and top line growth, but we have also sustained our margin performance. Gross margin remained at 72%. Component price increases experienced in our more hardware-centric products such as high-speed Ethernet, were offset with some careful customer pricing management and also with our progress in our Lifecycle Service Assurance segment, rich in software with higher gross margin. OpEx was at 10% and included investments both R&D and sales resource to support our growth plans. Profit before tax at $40.3 million was also up 16% in the period and is shown here following acquisition costs in the main. Tax came in slightly better than previous half, and we saw a guide to 14% to 15% in the full year. The tax rate is expected to slightly increase each year going forward, simply due to the regional profit mix. Cash remains strong, as you can see here with good cash conversion and positions us well as we continue with our growth agenda. So let me talk to the performance of our segments. We can see progress across the business. Both segments delivered good revenue growth. Lifecycle Service Assurance, on the back of a strong year of achievement in 2021, we are delighted with the ongoing momentum. Revenue up 10% to almost $126 million. Operating profit was held back in the half, simply due to further investments we made both in sales and some temporary additional resource to commercially release our new live assurance solution called Vantage, which Eric will explain shortly. This temporary R&D resource will now fall away quickly. And with a busy second half with more revenue weighting, we expect strong operating margin to be delivered in the full year, broadly in line with 2021. We saw good growth of our live solutions, which have a high software content and 5G continuing to be an important driver, both connected devices and WiFi, which also make up this segment performed very well, too. The acquisition of octoScope made in March 2021 has been fully integrated and is performing to plan as the clear market leader in the WiFi test space and growing nicely. In Networks & Security, we delivered 9% revenue growth as demand for high-speed Ethernet testing increased on the back of customers moving their data centers to the cloud and generally heavier data traffic. This resulted in improved profitability. Our GNSS positioning business is showing some good orders momentum with pick up in the government business, too. Corporate costs were similar to the last half as you can see here. So a bit more color here on the makeup of our revenue. I mean diversification remains robust, the top 10 customers equate to 36% of revenue and broadly consistent with previous periods. In addition to the usual financial metrics, we also carefully measure a number of focus areas representing KPIs that our strategy is working. Selling into the live network, up 20%. Live solutions mean more software with attractive gross margin. Services grew 17% as we look to incorporate more of the support activities into our offerings. We previously explained our focus on hyperscalers. And although starting from a small base, revenue has nearly doubled in size and dollars, and Eric will take you through examples of key wins here. With careful sales investment, we continue to attract new customers. We won more multiyear deals, constantly feeding the order book with revenue that is beyond the current year. So talking about order book. We introduced this metric in our last presentation, and I update it here at the half year point. At $284 million, the order book has grown 30% compared to the same time a year ago and increased $14 million since the end of December. And as we have recapped, there are a number of drivers in play here. We continue to win contracts spanning multiyears because we increasingly see customers buying large solution-based deals and in our Lifecycle Service Assurance business, but also for support deals for 5G rollouts. And our customers want to need the support we can give them. So how will the order book unwind? Well, around 35% is due for delivery beyond 2022. So we are building strength, visibility and resilience in our business model. So turning to costs. As you know, we keep a tight rein of all of our costs as we grow, and we invest with a very targeted approach. In a world of increasing cost inflation, we are managing this very carefully. We are delivering a growth agenda, and we must ensure our product remains relevant and first to market to take share where we can. We have been busy targeting release of important new products. And as I mentioned earlier, very importantly, our new live assurance solution, which is a next generation of VisionWorks, much easier to deploy and more scalable globally. We continue to invest in sales and marketing, and it's important we reach the maximum customer base with our technologies and in particular, reaching new customer segments such as hyperscalers. We continue to focus on key accounts and have added 2 more in the half, and these are managed by senior sales and experienced business leaders to sell large business solutions. Order intake growth continues to justify investment in this area. Admin costs increased compared to the previous period. We are implementing new systems to standardize time recording across the group and systems to support our new managed solution services business as we continue to see good momentum there. The more we scale our business, the more important it is to standardize processes. Other costs include increased audit fees, advisory fees for increasing compliance regulations. So OpEx grew $13 million in the half, and the cost inflation was $4.5 million, only 1/3 of the increase. So turning to cash, maintaining a strong balance sheet. We closed the half with almost $189 million of cash. Impressive cash conversion was delivered again at 110%. Now working down the table here, it's important to draw out a number of items that need to be considered, especially for those modeling future cash flows. Working capital reduced $12 million in the half following a busy year-end, we have now seen the cash inflows from our customers. Indeed, our focus on cash collections resulted in further debtor day reductions now 58 days from 64 a year ago. Now although working capital reduced in the first half, we did procure more inventory, more parts in advance to ensure no disruption in customer schedules, but also to hedge against price increases too. So by year-end, we will see an increase in working capital like last year, simply due to the busy fourth quarter and indeed reflecting the fact the business is growing. Turning to pension contributions, much reduced as we -- as the scheme has reached self-sufficiency and showing a surplus. We concluded the triennial agreement with the trustee to now only continue to fund the scheme when it falls under self-sufficiency. And for noting, being a mature scheme and well funded, we are now actively working with the trustee and advisers to complete a buy-in process with insurance companies. Cash outflows relating to this project are expected to be around $10 million, mostly incurred next year. Now in relation to tax in 2017, the U.S. Senate agreed new rules, which came into effect a few months ago. R&D costs were allowed to be deferred over 5 years, and this has now been removed, resulting in accelerated tax payments. Now the impact is an increase in cash to $10 million this year. And looking forward, our annual tax payments will run around $33 million per annum. So to recap on tax, no change in the effective tax rate, no change to the absolute amount paid over time. It's just a change to the timing. Now many still believe a repeal of this new legislation can happen but we shall see. So as you can see on the free cash flow, the main difference is the tax payments. The other item to note is the employee share purchases, and I expect the cash outlay for this to be around $11 million per annum. So to summarize, cash conversion strong, robust balance sheet has been maintained. So summarizing on the financial side. Our financial metrics clearly demonstrate our ability to deliver sustained growth, focusing on the critical areas that drive a resilient model with a record order book and therefore, increasing visibility. In addition, all of the performance metrics for our key focus areas have also delivered good growth, and we are well set for the busy second half of the year, but there is still much to do and timing of key deals to feed revenue in the fourth quarter remains very important. So with that, let me hand you back to Eric.
Eric Updyke: All right. Thank you, Paula. Very proud of the strong set of results we delivered. As I said at the outset, I now want to spend some time looking at how we're delivering our strategy in more detail and providing more context, in how we'll continue to deliver sustainable profitable growth. So let's begin with our major enduring market drivers. So 5G, you've heard us talk about 5G for a while now, and there's a reason. 5G is our #1 growth driver and it's still just early days. I'll talk more about where we are in the 5G journey in a moment. The worldwide shift to work from anywhere has greatly increased the importance of performance and security of fixed, mobile and satellite broadband, including WiFi. Another new driver is the emergence of the metaverse, which is increasing the need to test and assure augmented and virtual reality devices and associated cloud native platforms, as well as the latency performance of 5G networks. Hyperscalers are focused on the telco space with the ambition to take share in 5G core networks, edge computing, open RAN and private networks, and they're also expanding the capacity of their data centers using higher speed Ethernet, including 800G. And finally, location awareness has become a key enabler for innovation in devices, drones and automotive applications, which rely not only on GNSS to deliver location but increasingly make use of other sensors as well. So we often mention the importance of the 5G market driver to Spirent. So let's remind you where we are in the 5G journey. To date, less than 20% of operators globally have commercially deployed any kind of 5G network and a far smaller percentage, less than 3%, have commercially deployed stand-alone 5G, which uses the true 5G core network needed to fully realize the technology's potential. So it's still really early days for 5G. While 5G provides exciting opportunities for operators to better monetize their networks with innovative new services, it brings complexity at least 50x greater than 4G. This means a host of new challenges for operators and their vendors and a major opportunity for Spirent to help them address those challenges. Globally, operators' capital expenditure is expected to be heavily focused on 5G with forecast expenditures well in excess of $250 billion by 2025. And this 5G spend is nondiscretionary since the operators have committed and continue to commit to investments in 5G spectrum and network infrastructure. If the deployment of 5G core networks accelerates, it is expected to enable growth in 5G private networks, another medium-term opportunity that we're very excited about. So how are all these market drivers affecting our customers and influencing how and what we sell? Well, 5G and open network is attracting a larger field of vendors, including hyperscalers expanding our potential customer base. It's becoming increasingly complex to launch and run new networks and devices. So testing in the lab remains important, but it's no longer sufficient. Testing needs to continue into live networks. The agility and speed required to launch new services calls for continuous integration and continuous deployment approach to software development with integrated automated tests. Disaggregated cloud-native networks and network software updates every few days or weeks instead of months or years means continuous testing and assurance is required to help prevent network outages. And as the performance and robustness of location awareness becomes critical in more and more use cases, our global leadership in that space brings value to a broader range of customers. These changes cannot be addressed by test products alone, customers need a solution and services-led approach to solve these much more complex challenges. We are a critical enabler in the accelerated shift to a more connected world. But how do we consistently outperform the market and take share? Well, we engage in more consultative selling with our customers, becoming a trusted partner who understands their challenges and addresses them with solutions and services and not just products. We're the only vendor that addresses all phases of the technology lifecycle, leveraging the expertise and test methodologies we've developed in the lab and to test and assurance of live networks. This enables us to secure larger, longer-term multiyear contracts that enhance our revenue visibility and predictability. The close, trusted relationships we maintain with our customers and the governance around our portfolio management ensures we continue -- we focus our investments in faster-growing market areas that address our customers' most critical challenges. We've aligned our strategy to take full advantage of the opportunities available to us. You'll see on the left-hand side of the slide, the Spirent of yesterday where we sold mostly products and hardware to primarily service providers and network equipment manufacturers, mostly for lab testing. We've fundamentally changed our company into the Spirent of today. We're selling more solutions, services and software to a wider range of customers. And while we're still leaders in the lab, we're pushing further into live network. As we already discussed, the 5G world is dramatically more complex than the 4G one. In the 4G world, a national 4G network might have only 8 or 10 core network locations around the entire country. This makes it relatively easy to place physical hardware probes at designated points in the network and monitor huge amounts of traffic and look for issues. However, this approach is reactive. It only identifies problems after they've occurred at which point it may be too late to prevent a larger outage. In the 5G world, core network functions are software hosted in the cloud. So they may be in literally hundreds of different locations, making traditional passive probing methods impractical, enter Active Assurance, which uses software test agents that can be rapidly deployed to test any point in the network, detecting and analyzing issues before customers experience any impact. With that context, I'm very proud to introduce Vantage, our new Active Assurance solution for 5G and the cloud. As you may know, our successful VisionWorks platform has already been leveraging our leadership in the network tests to actively assure 3G, 4G and 5G live networks for some of the world's largest network operators, and it will continue to fill that role. But now we've applied all that experience to Vantage, a next-generation Active Assurance platform aimed specifically at 5G and packaged for cloud-native delivery. Vantage represents an evolution of our VisionWorks offering and significantly expands our addressable market. It's a very easy to deploy and use solution aimed at making the complex world of 5G as simple and manageable as possible for any size of operator. Vantage enables customers to validate new networks and functions before they go live and provides proactive monitoring of the real-time end user performance. We're very excited about this new product, and we look forward to giving you updates in the future. All right. So let's pivot to some of our big win stories from the first half. These provide excellent proof points that our strategy of diversifying our customer base, growing services and securing larger multiyear deals is working. Highlighting our focus on hyperscaler is one of our customers is focused on the development of augmented and virtual reality wearables and devices for the metaverse, which use cellular and WiFi connectivity and are often location aware. We helped to address the device development and validation needs with our wireless and GNSS test solutions. And we're at the heart of the U.K. government's 5G initiatives, the Department for Digital, Culture, Media and Sport is developing a national telecoms lab to ensure the quality and security of critical communication network equipment. We were able to provide a versatile and agnostic 5G core emulation capability to the lab with our Landslide solution. As part of our strategy to grow services, we closed a multimillion dollar, multiyear managed solutions deal with another hyperscaler, in this case, for a turnkey device testing program to help accelerate the launch of their next 5 devices on U.S. networks. And our focus on closing larger multiyear deals in our core market also continues to bear fruit. At a leading global equipment manufacturer, we've worked for over a long period of time to earn a trusted adviser status at senior levels. This, coupled with our 800G Ethernet market leadership helped us secure almost 100% of the customer's 800G and other high-speed Ethernet test spend over the next 18 months. And as part of this multimillion-dollar bundle deal, our evolving and compelling cloud and security story helped to land Spirent's first major security solution win in this account. So we've covered our markets and the strategy to take advantage of that opportunity. Now I'd like to turn to our operating divisions to show how this approach has borne fruit during the first half. Let's start with our Lifecycle Service Assurance business. We just discussed our new Vantage solution, which was still under development during the first half but was commercially launched in July. VisionWorks continued to succeed in live networks with major wins in North America and Europe. We had excellent growth with hyperscaler accounts, some of which we've already mentioned. We expanded our WiFi test leadership, building on our successful octoScope acquisition from last year, and we saw continued growth in our services offerings with several key wins, especially in benchmarking and device test. In our Networks & Security segment, we saw good growth in our core cloud and IP business and expanded our leadership in 800G high-speed Ethernet test. Our enhanced security solutions portfolio enabled us to take share at leading network equipment manufacturers in North America and APAC. We won a significant new contract for 5G security test as a service at a leading Tier 1 operator, a second phase of an investment that began last year. And positioning saw significant bookings growth in the U.S. government and hyperscaler markets. We saw multiple hyperscaler wins to whom our location testing expertise brings a lot of value. Our foundation of a resilient, sustainable operating model has proven crucial. Whether it's global trade conflicts, increasing inflation or worldwide pandemic, we've continued to deliver growth and momentum. In a time when talent is hard to come by, we've significantly enhanced our employee value proposition and achieved a higher than industry average retention rate. Our highly skilled supply chain team has proactively and aggressively managed our supply chain and our inventory to continue to deliver to our customers. As we continue to grow our portfolio to address more customer challenges, we're also simplifying our products to make them easier to deploy and use. Another vital part of our operating model is sustainability. I'm very proud of the ambitious targets we've set to be a more responsible corporate citizen. For this year, we're on track to achieve carbon-neutral certification. Our products are also helping our customers achieve their sustainability goals by helping them streamline their labs and reduce their carbon footprint. And we continue to invest in our diversity and inclusion program. We've enhanced our family-friendly benefits, and we've established partnerships with Historically Black Colleges and Universities in the U.S. and with the Society of Women Engineers. We've done a lot of great work improving our resiliency and sustainability to ensure we continue to deliver profitable growth and attract and retain great talent. To wrap it up, we've built a lot of great momentum. Our long-term market drivers are very attractive. 5G is our leading driver along with many other emerging trends like the metaverse and work from anywhere. The need for test and assurance is only increasing as networks gain complexity and customers need to react in real time to potential issues. In response to this need for real-time assurance, we're very excited about Vantage, our first-to-market easy-to-use and deploy live network assurance solution. Vantage also aligns well with our strategy to increase software revenue and, therefore, gross margins. We continue to focus our investment on growth and delivered another strong half of results. We've done it in spite of the many challenges facing the world today from inflation to global trade conflicts to COVID. We continue to deliver on our strategy, and you can see the results in our numbers. Order book growth and strong momentum gives us confidence for the year and beyond, and our Board's expectations for the full year remain unchanged. Thank you. And with that, we'll take questions from analysts who are here in person and then move to those that have dialed in on the conference bridge. The conference call will be run by an operator, who will provide instructions on how to ask a question for those on the line in due course. For all those who wish to listen, please remain on the webcast. And please note, this event is being recorded and will be available on the Spirent Investor Relations website.
Q - John Karidis : It's John Karidas here from Numis. I have 3 questions, but I'll ask 2, and I'll come back, if you let me, for the third one, later.
Eric Updyke : It depends on the first 2, John.
John Karidis : Okay. So the first one, Eric, I wonder if you can add a little bit more meat to the bones about the target addressable market for Vantage and how it compares to that full VisionWorks and maybe your plan of attack in terms of how you sort of roll it out globally. And then the second question, so there was a BT chief executive many years ago that used to say, "The trend is your friend." So if I look at the growth rates of Networks & Security revenue and LSA in H1 versus what they were in H1 last year and H2 last year. There isn't a trend. So -- and Networks & Security, the growth rate more than doubled and LSA sort of halved. And I can guess the answer for why Networks & Security grew. But can you help me sort of a little bit understand why the growth rate for LSA revenue specifically slowed down quite significantly versus the previous 2 half year periods.
Eric Updyke : Yes, sure. Yes. So the addressable market for Vantage and kind of the rollout plan. Yes, we're very excited about it. As you know, we've talked -- well, not just today, but over the last couple of years about the importance of Active Assurance. And the one sort of chink in the armor, I guess, we would say we had with VisionWorks is it's -- while it's a very scalable, very capable solution that is providing -- provided value to some of the biggest, most complex service providers in the world, it was a little bit of a heavy solution. And we needed something, as we looked at sort of our aspirations to really address the much broader market and service providers of all shapes and sizes and that maybe didn't have the depth of engineering talent and want to go through a bigger integration project. We needed a lighter weight solution. It was easier to adopt to really remove the friction of selling to a broader customer base, whether that be smaller service providers globally or even ultimately enterprise customers as they deploy private 5G networks in the future. So that's what Vantage really does for us. So the sales force is very much geared up. We're going to run some campaigns to really make sure we get good momentum around it. And we're hopeful it begins to contribute to some bookings really this half year and beyond. So it's why we actually, very consciously, took a choice to accelerate the investment and get the product out into the market July 14, a couple of weeks ago. And we could have taken a more casual approach and a more casual pace on that and maybe not spend quite as much in the first half, but we thought that was really the right choice to hit the market opportunity because we see a great insertion point with 5G deployments for this solution.
John Karidis : In terms of customers, has it doubled, tripled versus VisionWorks?
Eric Updyke : Yes, I don't -- I mean, there's a lot more customers that are not the biggest Tier 1s in the world, but they may not sign, the size of the deal that we may get with a smaller customer may not be as big. So yes, I would hope over the course of time, the list of customers grows pretty significantly, but we'll see what it does in terms of contributing to the overall numbers. And then just kind of the mix between Networks & Security and LSA and growth rates and so forth. Look, when I look back at the first half, I think really, we've got sort of all portions of the business actually performing quite well. I think it's true that LSA has really been the workhorse for us over the last 1.5 years, 2 years. It's delivered really nice healthy double-digit growth for us, still delivered double-digit growth in the first half of this year. So we talked about the fact that our business can be a little bit lumpy at points in time. And I would, I guess, just urge folks not to read too much into growth rates in the very short term and trying to extrapolate those. We have a lot of confidence still in the long-term growth of LSA. Networks & Security did beautifully. I think the market growth rate for high-speed Ethernet is actually lower, right? So I think we really outperformed the market in the first half in that regard. But I think particularly on the LSA side, we still have a lot of confidence in the trajectory that we're on.
Kai Korschelt : It's Kai from Canaccord. Paula, could I just follow up on the comments you made on the operating margin in the second half. I think it was a comment related to the second half. So -- and I think implicitly, you were saying that we should expect broadly flat operating margins for the entire year, given you just did flat margins in the first half. So I'm just trying to think about with that sort of run rate of revenue growth, is it just the sort of almost one-off nature of sort of supply chain issues and price increases that sort of perhaps neutralized some of the operating margin leverage that we would perhaps normally expect to see? Or is there something else going on, perhaps mix, or anything else in the second half that we should be aware of?
Paula Bell : No, it's a great question. Nothing unusual whatsoever. I think we sit at the half year point with lots to do in the second half. And you're quite right. The supply chain challenges are still with us. So we need to see how we roll out. So we do have the potential for operating margin improvements over time, as we've always said. We also have the options of investing more back into our sales resource and R&D as well. So I use the word broadly, so 2021. So that gives me some wiggle room, Kai, to see where we land on the day, but there's nothing untoward in that statement whatsoever.
Kai Korschelt : The second question was around sort of the Vantage commercial model, and it sounds like some of the -- your biggest customers, Verizon, AT&T, will probably still go for VisionWorks and this is really a sort of incremental TAM expansion, so to speak. Is that kind of the right way to think about it? Or is it -- and what is the deployment model? It sounds like -- is it a SaaS-type model or pure software? Or is there some sort of still some mix of hardware and software part of that?
Eric Updyke : I think, Kai, I think the way you laid it out, it's the right way to think about it. This is a solution that will really be geared toward Tier 2 operators in the next rung of operators, of which there are many, many around the world. Yes, we don't intend in the near term to migrate existing customers from VisionWorks to Vantage, right? So it's -- they'll both coexist for a period of time. At some point in the future, we'll merge things. But yes, we see it's a great opportunity to address a big part of the market. But it's frankly just been tougher for us to reach with the current solution.
Janardan Menon: Janardan from Jefferies. A couple of questions. One, just going back to the operating margin model. So if I understand you're right, if you take off the Vantage R&D, then there would have been operating margin leverage in the first half of the year. And so since that is going away in the second half, one can assume that we will see an operating margin progression versus revenue into the second half? Would that be the right way to look at it?
Paula Bell : There was 2 factors within the Lifecycle Service Assurance profit and loss account. And there is some numbers in the appendix as well to help you. We did increase the R&D and with the release of Vantage, as we explained. What we've also done is, as the business grows, it also tracks, if you will, further sales -- sales and administration, allocation of costs as well. So if you look at the P&L, as the business grows, it also absorbs more sales costs too. We have invested in more salespeople to help drive the solutions across. So it's not just the R&D in play here. There's other costs that we've invested into the business too. In the round, the way that I see the total business, we, as I said, full year numbers operate much more broadly in line the year before. If we can drive the further operating leverage really quite frankly, that comes down to what the revenue figure is from the year-end because the cost base, as you know, is pretty fixed other than if we move some investment around as we did with the Vantage exercise. So it'll come down to the revenue growth for the full year, to be honest with you. Yes, I mean, hopefully that answers the question, but we are investing more in sales, not just R&D.
Janardan Menon: So can I ask it a different way. You have been sort of accelerating your sales and marketing expenses as well because you've been expanding your addressable market, geographically, by customers, et cetera. Are we sort of reaching the end of that process? I mean, obviously, the costs will continue to go up, but the -- is the big step up in terms of having salespeople in Europe and Asia and things like that. Is that -- will that sort of get done to a large extent by the end of this year?
Paula Bell : That's a great question. I mean, if I think about the financial model over the midterm, we would expect all of our cost base in the main to be -- a decreasing percentage of revenue should come down. We will keep investing in the sales and marketing side more. It's driving the top line growth. So the ROI on sales investment is very evident. What we should be seeing more operating leverage from our R&D. We've mentioned in the past, didn't highlight too much today, but we are taking a number of actions to consolidate some of our sites -- footprint globally. That's driving some labor arbitrage for our R&D resource as well. So if we're looking -- if I was to have a crystal ball then I'd say the R&D as a percentage of revenue will be the one that we'll see the most benefit from. Sales I recognize, still discussed with our sales leaders, leadership. Where should -- where can we leverage more of our technology in the global market? So it's probably not right to constrain that, but it's paying dividend. But the ROI calculation on that sales resource and the key account management is constantly looked at. So -- but over time, generally speaking, we should still see some operational leverage there.
Janardan Menon: And 2 small follow-ups. One is, you said live network [indiscernible] grew at 20%, and I presume that refers to VisionWorks' growth. So that would put the growth of the other 3 parts of that business, which is Landslide, WiFi and connected devices at a lower level. Anything specific to pull out there? Or is it all more timing related and things will --
Paula Bell : They're all growing in their own way, but we've always said our strategy is to accelerate more into live than lab. And if we can get that weighting of the live side of the business to grow with that accelerated rate that exact, they're going to feed more software, more attractive gross margins. So nothing untoward in that respect, but we have had a particularly good half in the live network.
Janardan Menon: And then last, could you just elaborate a bit on the positioning in hyperscale, as I'm not sure I understand how they are using that solution.
Eric Updyke : Yes. I mean it just turns out that some of these hyperscalers are launching satellites in low Earth orbit -- that sort of thing. So it's sort of the conversion of those worlds really.
Janardan Menon: So it is a satellite thing?
Eric Updyke : Yes, yes, it is.
Eric Updyke : Number 3?
John Karidis : Yes and 4 actually, sorry about that. So the big one is security. So as you mentioned, there are sort of more stakeholders involved in networks, more complexity, more software, more points of potential attack. I guess the blunt answer -- the blunt question is, is what you have fit for purpose on the security side. And if not -- well, why would it be, first of all? And if it isn't, what can you do about it without having to go out and buy something? And then just coming back on these -- the accelerated or exceptional R&D costs in sales. Can I just ask, are we -- were you basically pulling forward, costs? Or will the overall number versus what you had in mind before, be higher, this year? So is it timing or extra?
Eric Updyke : Yes. So for security, is it fit for purpose? Our security solutions is a niche business. It's pretty small. It's pretty focused. And so there are a lot of players around cyber that occupy lots of different spaces. We have a particular niche. And a lot of what we do is, we test and validate and stress test next-generation firewalls as an example. That's one of the big things we do. We have recognized that we needed to actually enhance the performance of those solutions, and we're bringing 2 new products to market in the not-too-distant future as it turns out kind of a smaller version and a larger version. So those are actually coming to market within the next couple of months. They're going to deliver really fantastic performance, and I think are going to really set a nice foundation for us in our space to grow that business quite nicely into the future. So again, because of its existing size, it's not an absolute needle mover for the company, but we recognize the need to invest there as well. And we think we've got something that really drives much better performance, and it's going to be a real market winner for us as we bring it to market in the coming weeks and months. Just around the OpEx spend on sales and R&D, yes, we did -- we brought forward some spend, particularly in LSA that will roll off. It was contractors to help us complete some of that unique development around Vantage. And frankly, some of them are already out of the cost base, already, as we got the solution to market July 14.
Unidentified Analyst: Okay. Sorry, can I ask the fact that you are a niche in security doesn't limit the growth prospects of the areas, where you are top dog, just simply because security is a bigger part of the overall testing equation?
Eric Updyke : Yes. No. In fact, it's been a nice adder, where we've done these tests as a service propositions and where customers recognize that 5G is a more open architecture, it's more cloud-based. There's naturally a bunch of security questions and concerns that arise. And so one of the things that we've been able to do is because of the strength of the rest of our portfolio and the best core network emulation tool in the industry with Landslide, in a lot of cases, we've been able to sort of upsell security into those propositions. And it's really our strength and our knowledge around 5G more comprehensively that sort of pulled through the security opportunities for us. So that's, I think, a good method of selling and the whole solution-selling mindset that's worked pretty well for us. Should we go to the operator? Operator, any questions on the line? And do you want to give some instructions for folks on the line that might want to ask questions?
Operator: Yes. As for the moment, there are no [indiscernible] participants in the call or registered questions. So I'd like to pass back over to you.
Eric Updyke : Okay. All right. There's nothing else. Great to see everyone. Thank you very much. See you again soon. Thank you.